Operator: Pardon me. Please standby. Your conference will resume momentarily. Thank you for your patience, and please standby. Ladies and gentlemen, sorry for the inconvenience and the technical difficulties, but I would now like to let you know that our conference will be resuming. Leslie, please go ahead, ma'am.
Leslie L. Trigg: Thank you. As they say, third time is the charm, or I hope the third time is the charm. We'll see. Thanks for your patience, everybody, and thanks again for joining us. Before I get into the details of the quarter and our revised revenue guidance, I'd like to begin with a few key takeaways. First, while we've made significant progress transforming our sales process and strengthening our team, our third quarter results show that there's still work ahead. Several large opportunities that remain in the final stages of our sales process were forecasted for the third and fourth quarters, and we now expect them to close over the fourth quarter and into 2026. This is a shift in timing, not in our expectations for closing these significant insourcing opportunities with large nationally recognized health systems. As we shift towards selling enterprise-wide insourcing, we are managing very large deals that often span dozens of hospitals within a large health system. For example, an opportunity we had forecasted to close in the third quarter required approvals from the executive leadership of more than a dozen different hospitals after approval at the corporate level. We need to, and I fully expect we will, better anticipate these deal dynamics going forward. We continue to make good progress on this particular opportunity which we expect to realize via multiple orders spanning the remainder of the fourth quarter and into next year. Second, hospital demand continues to grow as a result of the clinical, operational, and financial benefits that can be achieved by insourcing dialysis with Outset Medical, Inc.'s proven technology, expert know-how, and exceptional service. We continue to see clear evidence that acute customer demand for insourcing with Tableau is growing. We expect this will support growth for many years to come. Tableau console sales increased 8% in the third quarter. Our pipeline grew meaningfully over last year, and the average size of our sales opportunities increased more than 20%. The markets we serve are large, and we are changing practice within them. Third, our ability to expand gross margin to our next milestone of 50% comes into clear focus with each subsequent quarter of progress. Reaching nearly 40% non-GAAP gross margin in the third quarter and remaining disciplined in expense management provides fuel on our path to profitability. Turning to commercial execution, our third quarter results fell short of our expectations. Last week, I accepted the resignation of our head of sales, who has made the decision to retire. We have a strong sales leadership team in place that will now report to me directly as we conduct a search process, which is already underway. This leadership change may result in some internal disruption in the fourth quarter, which is a factor we felt was prudent to take into account as we considered our approach to guidance for the remainder of the year. What I can assure you is that our team has an unwavering commitment to our customers and the patients they serve, and I expect we will demonstrate that commitment as we move through the fourth quarter and into next year. Taking a closer look at the third quarter, revenue was $29.4 million, which represents 3% growth over the third quarter of last year. Treatment utilization was strong, and we remain disciplined in our pricing across consoles and consumables. We believe ASP strength indicates that customers see Tableau appropriately priced for the value delivered and consistent utilization reinforces that once a unit is installed, if used, provides a long tail of recurring revenue. We also were pleased with our progress executing against a clear path to cash flow breakeven and then profitability. This path begins with top-line growth and gross margin expansion. It includes disciplined spend management, and it shows up in both the significant reduction in cash used we project for 2025 and in the leverage we see to the bottom line. Additionally, our base of clinical, financial, and operational evidence supporting the advantages of insourcing continues to grow. Last week, there were three new datasets presented at the annual Kidney Week Conference. Among the findings, we presented data from more than 1 million Tableau treatments across approximately 750 facilities that show the clinical effectiveness of insourced dialysis achieving rigorous treatment goals including up to 24-hour treatments that typically involve the most critically ill patients. One of our customers, AdventHealth, also presented data from the conversion of their Ocala, Florida site to an insourced dialysis service line with Tableau. Their results over five years showed a 94% reduction in serious cardiac or respiratory events, a sustained reduction in central line bloodstream infections, a very high nurse retention rate, with greater than 95% dialysis staff satisfaction, and a strong return on investment in the first two years of operation. These results support the sentiment we hear from many nurse leaders who believe that insourcing with Tableau should be the standard of care at any hospital that provides inpatient dialysis. With that, I'll turn it over to Renee for more detail on the quarter before I provide closing comments.
Renee M. Gaeta: Thank you, Leslie, and good afternoon, everyone. Revenue for the third quarter of $29.4 million consisted of $20.6 million in product revenue, which was slightly ahead of $20.3 million in the prior year period. Product revenue included console sales of $8.3 million and consumable sales of $12.2 million. Service and other revenue of $8.9 million grew 6% from $8.4 million in the prior year period. Recurring revenue from the sale of Tableau consumables and service was $21.1 million, slightly ahead of the 2024 third quarter. Recurring revenue was dampened by ordering patterns for treatments across our large volume acute care customers, that don't always perfectly mirror underlying utilization. For example, during the quarter, data from connected Tableau consoles showed that several of our large acute care customers performed twice as many treatments as they ordered. Thus far, in the fourth quarter, we have seen treatment orders accelerate to better match actual utilization. We expect treatment revenue to normalize next year as we lap the comparison to an unusually strong fourth quarter in 2024 and we see orders from our larger acute care customers catch up with our usage data. We also believe there are steps we can take to help the ordering patterns of our customers more closely align with actual utilization to assist us with better visibility and forecasting. We will be working to make these improvements during 2026. Next, I will walk through our gross margin and operating expenses for the quarter. Please refer to the table in today's earnings release for a reconciliation of GAAP to non-GAAP measures. Non-GAAP gross margin, another 350 basis points from last year, reaching 39.9% for the quarter even with a 138 basis point headwind from the under absorption of manufacturing overhead. Excluding the manufacturing headwind, we would have seen non-GAAP gross margin above 41% for the first time. Product gross margin increased 250 basis points year over year to 45.7% from 43.2% in 2024. Service and other gross margin was 24.8%, more than doubling from the 12.5% we reported in 2024. This progress keeps us right on our path to the next milestone of 50%. We are making progress against our plan to optimize inventory and gradually increase production which further mitigates the gross margin impact of the manufacturing under absorption we have discussed all year. For the full year, I continue to expect a headwind of approximately 150 basis points, which will have a diminishing effect in 2026. Moving to operating expenses, we continue to see the positive impact of actions taken primarily during the second half of 2024 to remove $80 million of annualized spend. For the quarter, non-GAAP operating expenses declined 17% to $22.1 million compared to $26.5 million in 2024. Non-GAAP operating loss was $10.4 million, over 35% below the operating loss of $16.1 million in the prior year period. Non-GAAP net loss was $12.4 million, 39% lower than $20.2 million in 2024. These measures reflect the positive results of our drive to profitability. Moving to our balance sheet, we ended the quarter with $182 million in cash, cash equivalents, short-term investments, and restricted cash. We used approximately $6 million in cash during the quarter driven by expanding gross margin, lower operating expenses, and the optimization of inventory levels. Turning to our guidance for 2025, considering the factors Leslie and I have covered, we revised our 2025 revenue guidance to a range of $115 million to $120 million from our prior guidance of $122 million to $126 million. We continue to expect gross margin for the full year to be in the high 30% range. With regards to operating expenses, we remain on track in the low $90 million range for 2025. The combination of revenue growth, gross margin expansion, and expense discipline means that we continue to expect to use less than $50 million of cash in 2025. As a reminder, we used more than $100 million in 2024. So we are trending towards more than a 50% reduction in operating cash use. We continue to believe our cash balances are sufficient through cash flow breakeven and beyond. With that, I'll turn the call back over to Leslie for closing comments.
Leslie L. Trigg: Thanks, Renee. I want to close by saying that we operate in two large end markets where we remain the clear technology leader. We are now approaching a thousand acute sites using Tableau on a run rate of a million treatments per year. And we expect to close the year having performed more than 3 million cumulative treatments on Tableau systems. We are gaining scale with significant growth runway ahead as our installed base matures. With hundreds of customer master sales and service agreements already in place, our expansion opportunity within our current customer base alone is significant. And on top of that, we continue to convert new customers in this multibillion-dollar acute care market. Gross margin has reached a new high. Our operating expenses have been rightsized, and we are well-capitalized with cash that puts us in a strong position to deliver on our long-term mission. And importantly, our technology, insourcing expertise, and customer experience moat is getting wider and deeper. All of this progress sets a powerful foundation for value creation over the long term. Customer demand for what only Outset Medical, Inc. can offer continues to grow. Providers, including some of the largest health systems in the country, are realizing the enormous clinical, financial, and operational advantages that insourcing with Tableau can deliver. The market opportunity remains wide open for us as we continue to improve our execution, which I believe will enable us to make significant progress in 2026 and beyond. And with that, I think we are ready for Q&A. Operator, please open the lines, if you will.
Operator: Thank you. Our first question is going to come from the line of Rick Wise with Stifel. Your line is open. Please go ahead.
Rick Wise: Good afternoon, Leslie. Harmony. A lot of questions. Just maybe and I think you make a persuasive case for and, you know, and, you know, for the factors behind the quarter performance and the change in guidance and the positive outlook. But maybe come at this from a couple of directions. The guidance trim, the $6 or $7 million at each end of the range, is that one order, three orders? Is it, you know, you mean, is that all reflective of that, or is there extra insurance baked in? And you know, it must be incredibly frustrating. How conservative are you being about this since you have, as you cited, that one headquarters approval and you're just getting the signatures on the other 12 hospitals? Just maybe just talk us through all that, if you would.
Renee M. Gaeta: Sure, Rick. This is Renee. I'll start sort of on the numbers commentary, and then I'll let Leslie sort of comment on our overall thinking beyond that. But certainly, the shortfall the way we look about it is first of all, which is what happened in the quarter. Right? And so if you just look at Q3, the primary driver for the shortfall is a large console opportunity flipping from the third quarter into the fourth. And so then we then took a step back. And, of course, when we're trying to think about guidance, for the remainder of the year, we're looking at all of those deals that were slated for the back half of the year that didn't close in Q3 and then anticipated to close in Q4. And where are we at with those deals? I would say there are, again, sort of a couple of these larger enterprise deals where we are trying to change the standard of care and therefore, identifying that just being realistic about where we think that those are at, and I would say factoring in the departure of our head of sales. That this is a disruptive could be a disruptive situation, and we're just being mindful of that when we forecast the remainder of our guidance for the year.
Rick Wise: Gotcha. No. That's clear. I didn't know whether you wanted to say something, Leslie, or shall I go ahead?
Leslie L. Trigg: Oh, keep yeah. Go please go ahead, Rick. I thought that was well said by Renee.
Rick Wise: Yeah. Very clear. And I'm gonna ask you a couple questions if I could. But console revenues were better than we were thinking this quarter. Again, I'm not sure how to balance the third quarter performance with the order timing commentary. I mean, that was encouraging as was the service. You talk more about what you're seeing and just help us better understand the individual moving numbers we're looking at and how that fits into this larger narrative you're sharing today.
Leslie L. Trigg: Sure. We yes, we did see an increased growth in console revenue over the third quarter of last year, which felt very positive. And at the same time, as you noted, we were very frustrated and not pleased with our own execution. In terms of our ability to consistently predict the timing of deal close. We have more work to do there. We can be better and we will be better. And I think it is important to recognize as we look forward that and I noted in the prepared remarks that the order size the order sizes of our the individual deals in our pipeline it has grown substantially. The average deal size has grown by about 20%. And that has some implications, but both, you know, both sort of both good and challenging. I think, great in the sense that we are seeing demand and very high interest as we noted, from the largest health systems in the country. We also have to be ready for the challenges of being able to predictively and consistently call the timing of when those deals are going to close. And so while I think we have made a really meaningful amount of progress, foundational progress over the last year, implementing a new sales process, new sales tools, hiring to a different sales profile, getting our organization really proficient at selling at the enterprise level, those all those changes have, you know, have taken root, and they really have helped to transform the organization. Our work is not done, and now it's time to refine and continue to improve our ability to control the deal timing and predict time to close. And that's our next step here. Gotcha.
Rick Wise: Maybe just last for me. For now. In looking for a new sales leader, Leslie, kind of individual are you looking for? What kind of experience What do you need them to bring And sort of the unfair part of the question is, how quickly do you think you can make this happen? And what are the implications of this sales leader transition for '26. Are we more anxious now Should we be more anxious about either the outlook for '26 or the magnitude of '26 or the way the '26 year could unfold because of this particular issue? Thanks.
Leslie L. Trigg: Of course. Sure. I'm happy to address all of that. Maybe I'll take it from the top. In terms of the criteria for our search, and I'll emphasize that the search is already underway. And I'll address your question there in a second, Rick, around timing. But the search is underway. I don't think any of the criteria will surprise you, but I'll take you through it. First and foremost, is a background in capital equipment. Number two, a background and strong track record in enterprise sales. Total conversion of health systems, total standardization of health systems, the ability to convert many hospitals inside a health system to standardization around one technology and one care delivery model. And someone, I would say, maybe three who has the capacity to act very strategically, but at the same time, is extremely immersed in the details. Sort of obsessed with the details and involved with the customer and with our sales team, you know, every step of the way. And last, I'll say somebody who is an exceptional coach, somebody who's an exceptional coach, leader developer, and will ensure that we continue to preserve what's great about Outset Medical, Inc. and our sales team right now, which is who they are as individuals and in the collective. From a culture standpoint. So that's what we're gonna have our eye on there, Rick, as we move forward in our search. I will say in terms of impact, let me start by several of our sales VPs were hired prior to Laura joining. So I think it's important to note that we have really good tenure and, importantly, experience both in acute and home in these top roles. So I wanna emphasize that. At the same time, we have many other very valuable team members who are serving an important role and making meaningful contributions that remain very committed to our mission and the opportunity here. I am very much looking forward to it. I know Renee as well is getting even more directly engaged with the team, with the sales team now reporting to me and sales operations reporting to Renee, and getting even deeper engagement with our customers. That said, as Renee noted, you know, whenever you make a change in sales leadership, you do see the potential for some distraction. What does that all mean in a practice level? It can mean fewer selling hours, right, as everybody sort of digests the change and gets ready for new leadership. So we did feel it was prudent to account for this in our revised guidance. But I am very confident that hiring a new sales leader will take us to the next level and help us get to the state of predictability and consistency around deal close timing that we're looking for.
Rick Wise: Thank you. Yeah.
Operator: Thank you. And one moment for our next question. Our next question comes from the line of Shagun Singh with RBC. Your line is open. Please go ahead.
Shagun Singh: Great. Thank you so much. Leslie, I just wanted to kinda touch on, you know, the visibility and the growth outlook for your business here. In 2025, you're delivering about 3% growth off of pretty easy comps last year. Exiting the year with a 9% year-over-year decline. So firstly, what does that imply for 2026? I think consensus is at 10.5% year-over-year growth. And then also, how do you think about the long-term growth of this business? Is this mid-single digit, high single digit, low double growth business? You know, how should we think about it? It's definitely a large market opportunity, but how do you give investors conviction in the execution?
Leslie L. Trigg: Yeah. Sure. Well, I'll start by reiterating something that you won't be surprised to hear me say. We haven't obviously provided guidance for any period past 2025, and obviously, we look forward to doing that in the future. I'm glad you touched on what hasn't changed which is, you know, demand is growing despite the setback. This quarter with deal timing. The deals in the pipeline are progressing and the size of those deals continues to get larger. Our competitive differentiation our, you know, insourcing ecosystem and moat is getting wider and wider. And deeper. And the console utilization remains very high and really consistent. Which we've always felt is extremely important because utilization is the most direct reflection of the customer experience. It's something we're really proud of, and it continues to feed that foundation of recurring revenue. Obviously, you know, what we saw this quarter is we still have work to do. On this final piece of the commercial but we believe that work can be accelerated. Under new leadership. And so we do remain as optimistic and confident as ever about our future as we look forward. Because what we saw in the quarter, I don't want to trivialize it. We're not happy with it. We're not pleased with the execution, but what we saw in the quarter was a shift in timing. We do know we have more work to do on capital sales execution to better anticipate these deal dynamics with these larger and larger deals. But that said, nothing has changed in our market opportunity or technology or know-how, and the core customer demand for from larger and larger health systems really gives us even more confidence in our ability to grow revenue at differentiated rates in the future. But that being said, I'll maybe transition from my sort of my color over to Renee for any other comments.
Renee M. Gaeta: Yeah. Sure. I think as you think about, you know, just reflecting on the update that we've provided with our 2025 guidance, and the trim on that number, it's a good starting point for how we should be thinking about 2026. Of course, highlighting all of the factors that we talked about today. So you know, change in sales leadership would is something that you should probably also factor in in the near term. And I would just sort of reiterate around, you know, we aspire to be a higher growth a company that does have a higher growth than five or 10%, and we believe that we've got the marketplace to do that. We just need to have some execution here on deal timing. The market has not changed, and the product has not changed.
Shagun Singh: Got it. And just a clarification question. You know, with this to your comment on there is work remaining to be done. Have the forecasting changes or anything that you're doing in the background, is that is that completed? Is that behind you? And then you did talk about some ordering patterns and that you would work through that in 2026. So does that mean we should expect 'twenty six to be a transition year in any way, maybe first half, second half? Any color there would be great. Thank you for taking the questions.
Leslie L. Trigg: Yes, sure. I think it really sort of depends on which revenue stream you're speaking to. I think on the console side, it's clear that deal closed, and transition of closed to shipment is of most importance. That is something that we need to continue to refine, and I would say it's probably the heaviest lift here in front of us. On the treatment side or the consumables, you know, we get a ton of data from our connected Tableau devices, and watch that on a monthly, if not a daily basis at this point. And noticed that utilization remains strong. And so, really, it is just a timing issue with regards to the ordering pattern of a few large customers that didn't materialize in Q3. Q4 orders are beginning to more closely match utilization. So specific to that order or that area where we absolutely do need to do a bit more refinement, we need to get closer to our customers, more and we believe that we're gonna be able to take those steps. To help understand their ordering patterns, their supply chain management, etcetera, so that we can fully have better forecasting on the treatment side. But the consoles are being used. They are high utilization. That's remained consistent, and that's what's give us the strength for the opportunity ahead. I'll just maybe chime in one other thought. Shannon, on the consult side because you had asked about, hey. Is there sort of more new, kind of more foundational changes that are needed in the commercial transformation journey. And I would say no. I mean, we have work to do to further cement the impact. Of all the changes. But, look, I mean, a lot of really great foundational work has taken place and taken root from sales process to enterprise selling, the sales rep profile, the sales rep structure. I mean, we would not have been able to get this far over the last year without all of it. And now we need kinda fine-tune focus on predictability, and the ability to better forecast the timing of deal flows. And there are certainly suffice it to say, some lessons here from Q3 that we can and will apply to the predictability of deal close going forward, and we are gonna get better as a result. But there are no profound or foundational changes incremental to what we've already implemented here over the last year at Michigan. So I just wanted to clarify that as well.
Shagun Singh: Thank you.
Operator: Yeah. Thank you. And one moment for our next question. Our next question will come from the line of Marie Thibault with BTIG. Your line is open. Please go ahead.
Marie Yoko Thibault: Hi, good evening. Thanks for taking the questions. Just wanted to follow-up to consumables sales order timing issue a little bit more closely. Is that just sort of an issue of, you know, the hospitals maybe over ordered, weren't as good on their own forecasting? I don't recall really hearing of this sort of difference between the treatment patterns and the order pattern happening in the recent past. So just want to understand that, what's being done to prevent it? And then sort of the timing of that coming back. Right? Should we think of Q4 being order and revenue very similar to what we're used to seeing utilization? Is there some pull forward or making up for some of the missed revenue in Q3? Does that extend into 2026? Just a little more clarity on that.
Renee M. Gaeta: Sure. I'm really happy to help give some more information and highlights here. I think ultimately, this is a limited group of higher volume customers that we saw for Q3, where we ultimately expected in that third month of the quarter for us an additional order to be materialized in that just didn't happen. Each customer is unique, right? They've got their own supply chain policies and practices and management of their own balance sheets, and so we're gonna get closer. To that information. We're gonna work on that incrementally to providing our customers with all of the information that we have on our side that we're seeing from a forecasting perspective. And just having closer collaboration. This is, I would say, a defined set of customers that we need to go off after and tackle this work, and we are absolutely committed to doing that. For 2026. I think you know, what we're predicting for the back half of this year within our guidance range is more of a normalized what we saw for Q1 and Q2 this year. To date, for the quarter, we have not seen any significant orders that we were in absence of what happened in Q3. That team utilization. Incrementally too, I think, how customers think about we've seen, again, very just very consistent ordering coming through in Q4. their balance sheets and their policies. Right? They're also trying to predict the amount of activities that they're gonna have in their hospitals, what does flu season look like? What does you know, what do they expect just coming through the door? And so we just need to get closer to that information I think our sales group has done a great start, and we just need to continue to get closer to customers specific to utilization and treatment buying.
Marie Yoko Thibault: Okay. Understood. Thank you for that, Renee. And a follow-up here on the console side, and the head of Sales resignation. When exactly in the quarter did that happen? And is there a way to sort of size up some of the guidance cut? How much of that is coming from sort of the timing issues around console orders closing versus some uncertainty about sales force disruptions there a way to kind of parse out what you're assuming in that $6 million guidance cut? Thanks again for taking the questions.
Leslie L. Trigg: Of course, yes. Why don't I start by addressing your first question and then, Renee, if you have thoughts on guidance, I'll transition over to you. So, Marie, to answer your question, the change in our sales leader occurred after the close of the quarter recently here. And it was actually last week. So it was very recent. And I think, you know, look. I'm only reflecting back historically as I've seen these sorts of changes and evolutions in the past that there can be some time, you know, in the follow-on quarter where members of the commercial team, you know, naturally need time to kinda digest and absorb, and that can, not always, but can lead to some distraction and less time available for selling forward. And so we were just trying to be cognizant of that. And consider it as a factor potential factor. For the remainder of this year. I don't know if you wanna pick up on anything further on the guidance.
Renee M. Gaeta: I would say, Marie, specific to the console activity for third quarter, you might not be surprised in that console activity because it's a capital sale, is generally in the third month of the quarter where we start to see visibility what orders are gonna be coming in. So late in September was that sort of where that activity fell through? Similarly on the consumables treatment ordering as well. Sort of all late in the third month of the quarter. And as we then look towards what should we update guidance for the year, what is our full year forecast, that we took that into consideration as well as, as I mentioned, our full set of deal review for what was anticipated now for Q4. Where are those at? Current conversations. We're getting really close to the sales organization. As to the timing of that event. And that plus the resignation of our sales leader, we factored all of those in and that's how we've come up with the guidance range of $115 million to $120 million.
Marie Yoko Thibault: Thanks so much.
Operator: Thank you. And one moment for our next question. Our next question comes from the line of Josh Jennings with TD Cowen. Your line is open. Please go ahead.
Josh Jennings: I was hoping to just follow-up on the update on the guidance and just make sure that you're not seeing any orders fall out of the pipeline, not seeing any order cancellation. I believe you may have commented on that. But just to circle back on that if you haven't. And then also, just on the Salesforce, have you seen much transition through the quarter? Is it really just ahead of sales organization that's departed? Is there any other transitions that you guys are considering in the guidance? Sorry, that's questions in one, but I have one more.
Leslie L. Trigg: You're efficient, Josh. Thank you. And thanks for asking about the deal flow and sort of the deal progress. Short story long, no. None of the deals that were projected to close in Q3 and in Q4 have dropped out of the pipeline. The deal that we saw, the timing shift around out of Q3 forward specifically remains in the final stages of our sales process, and I think we've given some color to that in the script just to hopefully provide some context about as we get up into these enterprise-wide fields, you know, with a dozen or dozens of hospitals. There are, you know, more and more stakeholders and a much greater number of approvals as appropriate. It's a big decision, on the part of the health system. To down select to one technology and insource. And so we continue to work through all those steps. I think our sales team is taking all the right steps to close them. None of these opportunities have fallen out of the pipeline, which we feel very good about. And then in terms of the change in sales leadership, this is our primary change. As I mentioned, we have several of our sales vice presidents who were hired prior to Laura joining. And so we do have really good tenure experience and commitment at that level. We don't have any other significant changes at this time at the VP level, and we know we have a very, very committed team. Believes in the change. This is hard work. We are changing a space that hasn't changed in forty years. And that's never easy to do. But this is a resilient team, and this is a team who has never been more motivated. To kind of make a permanent and profound change in this industry both acute and home, for the benefit of, ultimately, the benefit of patients. So we have a team that is ready to execute. And ultimately to deliver on our long-term mission in the achieve the differentiated growth rates we know are capable in such a large market with the technology leader.
Josh Jennings: And maybe just lastly, circle up on just the home channel and your success there in 3Q and outlook for 4Q. It sounds like the turbulence was in the acute channel. You have these MDO contracts in place with the five largest organizations. Yeah. Any anything of note to provide more detail there? And then also in the SNF channel? Thank you.
Leslie L. Trigg: Yes. Sure. Yes. Thanks for the question. On the home side, we always start by talking about the retention rate, which is foundational to growth. And we have seen, again, this past quarter, very stable and high retention rates in the home population even as that home population continues to grow, which is great to see. We have continued to see growth in the home programs of our largest MDO customers, which, again, we see as a direct reflection of their experience, and the experience of their patients. We continue to hear from the MDOs that their patients talk about a materially easier training time, materially easier use day-to-day use. And the feeling better effect, which we don't talk about quarter over quarter. On earnings calls. But this feeling better effect has stayed with us, really, literally from patient one talking about feeling physiologically better on Tableau. At home and in the acute setting. And so we feel really good actually about the progress across the home and across these Nvidia customers. And into the SNF opportunity, which we continue to look at as a whole future vector of additional growth in the home channel. That's thanks for the question. Yeah.
Josh Jennings: Thank you.
Operator: Thank you. And one moment for our next question. We have a follow-up question from the line of Shagun Singh with RBC. Your line is open. Please go ahead.
Shagun Singh: Great. Thank you so much. Just a quick on '26. I think you said 2025 is a good for '26 as of now. You know, I just wanted to make sure I heard that correctly. And then also, just anything you can share on Q1, would you expect some of the orders that didn't come into in 2025 or Q4 to come in Q1 2026, so we should expect a stronger Q1 versus the balance of the year? And then I know that this year in 2025, you started with a pretty broad range of 1% to 10%. Should we expect a wide range in 2026? Just any direction color on guidance philosophy would be helpful. Thank you.
Renee M. Gaeta: Sure. I think to clarify on my statement specific to 2025, and the good place to start is I specifically said, we reduced 2025 guidance by let's just calculate it roughly $7 million. So that's a good place to for you to start when you when you're thinking about 2026. Forward. And I would say, you know, at this point, as we updated the orders from Q3 and Q4, have now slipped into Q4 and into 2026. At this point, sort of forecasting forward into Q1, and specifically what our guidance range is gonna be at that point, I'm just gonna reserve the right to talk about that when we've got a full update on 2026 guidance.
Shagun Singh: Thank you.
Operator: Thank you. And I would now like to oh, hold on a moment. I see another follow-up. Just a moment. And we have a follow-up question from the line of Rick Wise with Stifel. Your line is open. Please go ahead.
Rick Wise: Sorry to put you on the spot, folks, but just listening to Shagun's question, I'm sort of thinking is it impossible? Is it highly improbable? That the $7 million or whatever the number is is it impossible that it falls into the fourth quarter? I mean or does it seem highly likely it won't? I mean, you see what I'm getting at? Sorry to put you on the spot.
Renee M. Gaeta: Oh, no. That's fine, Rick. As we were thinking about how to guide for the remainder of the year and for twenty-five, our philosophy took into account, again, the fact that we are, you know, changing the sales leadership and that some of these deals know, will close in Q4, and some will close into Q1. And so that new range of $115 million to $120 million does not assume that all of the deals again, if you think about a $7 million reduction, it does not assume that all those come in to Q4. It's not to say that it's impossible or it could never happen, but again, given all the factors at play here for the remainder of the year, we felt it was know, it was prudent to take this approach.
Rick Wise: Gotcha. Thank you, Martha.
Renee M. Gaeta: Of course.
Operator: Thank you. And I am now showing no further questions, and I would like to hand the conference back over to Leslie Trigg for closing remarks.
Leslie L. Trigg: Okay. Thank you, and thank you again for your patience. And bearing with our top technical start there. I do appreciate everybody joining today, and I'd like to close by thanking our customers and our team for the meaningful difference they make every day. In the lives of dialysis patients. Thank you all, and have a great evening.
Operator: This concludes today's conference call. Thank you for and you may now disconnect. Everyone have a great evening.